Operator: Good day, ladies and gentlemen. And welcome to the Twist Bioscience Fiscal 2019 First Quarter Financial Results Conference Call. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will be follow at that time. [Operator Instructions] As a reminder, today's conference may be recorded. I would now like to introduce your host for today's conference Mr. Jim Thorburn, Chief Financial Officer. Sir, you may begin.
Jim Thorburn: Thank you, Al. Good afternoon, everyone, and thank you for joining us today for Twist Bioscience conference call to review our fiscal 2019 first quarter's financial results and business progress. Please review the press release we issued earlier today, which is available at our website at www.twistbioscience.com. With me on today's call is Dr. Emily Leproust, CEO and Co-Founder of Twist. Emily will begin with a review of our progress, I will report on our financial and operational performance, then Emily will discuss our upcoming milestones and direction. We will then open up the call for questions. As a reminder, this call is being recorded. The audio portion will be available on our Investor website for the next two weeks. During today's presentation we will also make Forward-Looking Statements within the meaning of the Federal Securities Laws. Forward-looking statements generally relate future events or future financial or operating performance, our expectations and beliefs regarding these matters may not materialize and actual results and financial periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These risks include those set forth in the press release we issued earlier today, as well as those more fully described in our filings with the SEC. The forward-looking statements in this presentation are based on information available to us as of the date here off and we disclaim any obligation to update any forward-looking statements except as required by law. With that, I will now turn the call over to our Chief Executive Officer and Co-Founder, Dr. Emily Leproust.
Emily Leproust: Thank you, Jim, and good afternoon, everyone. We remain for focused on our reason to leverage our silicon platform to rise DNA as an emphasis to scale improving health and system ability with progressed in all areas of our business. In the first quarter of fiscal 2019, we reported revenues of $11.5 million for the quarter an increase of the 166% over the first quarter of fiscal 2018 and 37% for the last quarter. Jim will provide a specific financial details shortly, but I would like to highlight a couple of important trends we are seeing in our revenue growth. Beginning within Syn Bio. We shipped approximately 71,000 genes during the quarter compare to 45,000 genes in the same period last year an increase of 60%. This is a slight increase in the number of genes over the last quarter, however we see an increase in the average length of genes shipped and as you know long year genes bring in more revenue. In addition, we can see that our e-commerce ordering system is enabling us to capture their long-tail of the market in Syn Bio. Excluding Ginkgo incorporation to the first quarter of 2018 our average order size for the first quarter of 2019 was 45% lower as we are reaching customers with smaller order. However, in the same period we received 3.5 times more order. So overall non-Ginkgo revenue grew 92% year-over-year and 16% quarter-over-quarter. Our current times continues to improve with the average current time flow 1.8 TB genes at 14 days. For 3.2 KB genes we are first no less than 15 days. We call that in fiscal 2018 our turnaround time was an average of 15 to 20 days. By sustain the turnaround time and continuing to reduce it. We can enable further growth in Syn Bio, offering another competitive advantage to compliment our disruptive price and unique customer experience. On new product introduction. In January we launched 5KB genes at the price significantly lower than our competitor, while we do not expect long genes to become a major source of revenue right away, this production introduction is important for three reasons. First we become a more attractive vendor by offering wider range of products. Second longer genes produce more revenue as we charge per base bill. Third 5KB further enhances our GDP to growth the buyer market. We also opened up our Twist API to any customers who like to integrate this within their work flow. For those of you that are not familiar and API enables our customers to connect directly to our system from their automating all traction with Twist visa going through the e-commerce platform. It enabled a direct digital communication between organization consistent with our efforts to provide a seamless user experience to this customers and increasing the stickiness of our brand. To run the Syn Bio, I would like to share an experience of our ongoing work with one of our customers, [indiscernible] Medical Center. [DUMC] (Ph) has entered the first of four prints in their ongoing grant from DARPA for the Pandemic Prevention Program or P3. The particular P3 to accelerate antibody discovery and then seriously to react to an outbreak and provide an antibody therapeutic in 60 days. We believe that we are the only company which can provide the massive scale of antibody synthesis at the speed needed to enable this project from DUMC. We have been live tweaking [indiscernible] and I’m happy to report that we shipped the majority of their genes in nine business days. This is a perfect example of the scale and speed our platform brings to improve health worldwide. Moving to Genomics and targeted NGS. In the first quarter of fiscal 2019, we shipped our target management products to 115 customers. With 18 of these customers now in production, our revenue from NGS quadrupled quarter-over-quarter to $3.8 million thanks in part to a large order from a single customers. While we continue to increase our customers base and move them along the section from pilot to production, it is important to note that large orders received by our customers can take some time to be utilized and recurring revenue will not occur every quarter for every customers. Hence we anticipate revenues to be initially lumpy, but we expect that they will smooth out overtime as more and more customers came up. Given the success in NGS and as we received significant scale of NGS orders more rapidly than we anticipated, we accelerated investments in this business to meet the demand. As a result, we made a decision to work in part to capture these large production orders to drive customer adoption and we decided to hire more people than we anticipated to accommodate these near-term opportunities. As such, we expect to have a higher than planned fix cost in the next few quarters, while the viable cost remained as anticipated. We expect these investments to add about $600,000 to our quarterly fixed cost to capitalize on this rapidly growing market [Indiscernible]. Further time, we expect to gain additional income in the scale as our investments in our [Indiscernible] production process lead to higher margin. One of the investments we are making involves maintain the requirements of ISO 13485 of our NGS quality management system. We are seeing this ISO 13485 and 9001 certifications for our NGS units is a great commercial advantage and it has allowed us to expand our NGS customer base since we now have the ability to support customers in more regulated markets that require these specifics certification from their key suppliers. Finally, we expect to leverage e-commerce to scale the generics business, improving the efficiency of the organization and we remain on-track to launch our e-commerce platform for NGS in the first half of calendar of 2019. Looking ahead, [indiscernible] Syn Bio and NGS businesses, all those remains strongly ahead of revenues at $15.2 million this quarter despite many more Ginkgo orders due to phasing of their work. These strong orders at Ginkgo reflect typical and seasonality while a number of organization and in particular in [indiscernible] had usage alluded year-end budget and due to these strong orders the revenue outlook for the next quarters remain positive. Turning to Biopharma vertical. We recently generated early technical proof of concept data for both our GPCR antibody library and our antibody [indiscernible] program. For our GPCR antibody library, we show that we are able to both identify several higher antibodies against our specified GPCR target and as many of them were functional. This is a remarkable achievement for our team - at the beginning of June 2018 and two positions at other lab in September of 2018. These are early and exciting data. We are now focused on generating additional data to complete a robust technical package that is needed to pursue potential revenue generating partnerships in the longer term. We intend to advance these programs internally potential through non-dilutive discovery collaborations. In Biodata program, our team shows an existing PD1 inhibitor with weak [Indiscernible] to assess our platform capability in antibody optimization within a few short months we discovered more than 50 diverse PD1 inhibitor, some with nearly a 100-fold binding [indiscernible] increases when fully formatted into IGG antibodies. While we know that the world may not need another PD1 inhibitor, it is a powerful demonstration that our approach to antibody discovery powered by our silicon based DNA writing platform enable the fast discovery and optimization of antibodies. Once we build out our data package for both program, we intend to begin marketing our capabilities to potential partner. While we do expect it to take some time to solidify these partnership, we believe this preliminary data are early sign that our vision of seeking partnership with long-term potential for therapeutics drug will be a capital efficient way to create long-term for our shareholders. On DNA Data Storage we continue to make solid progress in everything a platform that can sympathize DNA to store terabytes of data in one day. Currently we are synthesizing DNA that will store megabyte of data, so this is a tremendous increasing capabilities. To accelerate our development of this vertical, we are personally non dilutive funding, this apply for large grant as we discussed last quarter and the Government has not yet communicated any updates on this program, but we remain hopeful that we will receive funding once the decision is made. To continue to support our growth trajectory, today we announced the appointment of Martin Kunz as Senior Vice President of Operations. Martin brings significant operations experience in DNA synthesis and I’m confident he will be instrumental in our ongoing effort to make continuous process improvements across the board and introduce new products to support our growth. In addition, we announced the promotion of several members of our management team, Mark Daniel to Chief Legal Officer and Patrick Finn to Senior Vice President of Commercial Operations. In addition Patrick Weiss previously SVP of operation will be moving over to manage innovation at Twist, as SVP R&D and general manager of data storage. Finally as you have seen on January 29, we filed demurrer and motion to strike Agilent's second amended complaint. Challenging each of Agilent’s legal claims as well as cross complaint assessing six new corporate claims against Agilent. We also filed our answer and affirmative defenses to Agilent’s second amended complaint. For more details, there is a summary statement posted in the IR section of our website under news. All of our filed documents are matter of [indiscernible] and as you can understand we cannot comment further on ongoing litigation. With that, I like to turn the call over to Jim, for review of our financials.
Jim Thorburn: Thanks, Emily. We had another strong quarter. Bookings were at $15.2 million, so a sequential growth of 18%, year-over-year growth of 105%, book-to-bill ratio of 1.3 to 1, we are executing in our game plan of expanding Syn Bio reach beyond Ginkgo, expanding our global business and aggressively scaling our NGS genomics products. Our Syn Bio order quarter excluding Ginkgo rose 7.3 tremendous growth year-over-year of 58 and sequential 17, and was notable as we are seeing very strong orders from EMEA and the U.S. market. Our Ginkgo orders for the quarter of 0.5 million. As we have highlighted on our last call, we expect to see Ginkgo decline as a percentage of total revenue as we continue to scale in Syn Bio non-Ginkgo to obviously and NGS. I will note that Ginkgo has placed orders earlier this quarter and our Ginkgo annual revenue projections are on-track for approximately 8 to 8.5 million which is consistent with our Ginkgo contract. I will cover NGS with genomics. our genomics products are doing extremely well, and as Emily highlighted, we have a very, very strong competitive advantage which is translating into orders with robust traction as order volume scales when our clients move from pilot to production. The funnel for our larger opportunities continues to build and we have now approximately 16 potential customers in pilot up from 11 in December, we have 28 in validation up from 24 and 18 have now adopted. Consequently we saw extremely stronger orders in Q1 from NGS $7.4 million which is 70% sequential growth and 2000% growth year-on-year. I will note that one of our key customers placed a great order on us, it was $3 million, which helped propel this growth and just really highlights the opportunities ahead of us in NGS as we scale this business. Were making great progress with the team supporting pilot, scaling and adoption process for key accounts and we have increased our investments in sales, feet in the street, technical support an operations to support our success in this area. It’s worth noting that we have brought interest beyond these key customers and received total orders in excess of 100 from 100 accounts in the quarter and we continue to do well scaling our NGS business globally. Europe booked $1 million just over a million dollars, as notably Asia booked million dollars of NGS in the quarter. We continue to see strong order growth this quarter and focus on providing terrific support for our growing customer base. [Indiscernible] AGBT, you will hear from some of our customers how our target enrichment products and are providing real solutions and benefits in multiple areas. I’m now going to briefly touch on regions. America very strong quarter in terms of bookings, great execution by the sales team and marketing. EMEA had a fabulous quarter booked nearly five million that is a record. APAC, it’s nice to see APAC did over a $1 million all of it is NGS and I would say our sales and marketing teams and product our teams are doing a terrific job in executing and expanding the pipeline and converting that to bookings. I would like to note that in terms of orders, they will not directly translate into revenue for the following quarter, but more by providing information orders we have provided trend line for each of the product groups and currently both Syn Bio and NGS are growing and we anticipate both NGS and Ginkgo orders to be a lumpy over the quarter as we continue to win larger orders such as $3 million as we mentioned earlier. In terms of revenue, we reported another quarter of robust revenue $11.5 million which is 37% sequential growth and 166% year-on-year growth. At first quarter Syn Bio revenue, which includes our genes, [indiscernible] and library products was $7.7 million, compared to $4.1 million the same period last year representing year-on-year growth of $3.6 million or 88% worth of sequential 3%. Our gene products are doing well with Q1 revenue $6.5 million compared to $3.1 million in the first quarter of 2018, year-over-year growth of 110% and sequential growth of 7%, it’s worth noting again Ginkgo did decline from Q4 to Q1 from 3.2 to 2.7 that illustrates that the gene business excluding Ginkgo set a record of $3.8 million compared to $1.6 million in Q1 2018 an increase of 138% from the year sequential growth compared to 1%. The feedback from our customer base is very positive due to our competitive turnaround and times and when we said we have improved those affordable pricing, expansion of our sales organization and advantage of our e-commerce platform. We are very encouraged by our Syn Bio growth and excited to highlight we have delivered consistent growth in both total revenue and customer account over last year. We have seen our Syn Bio customer account excluding Ginkgo increased from 249 in Q1 to 497 in Q1 2019. Revenue per Syn Bio customer excluding Ginkgo per quarter was 10,400 in Q1 2018 and 10,100 in Q1 2019. This indicates that we are reaching the long tail of the market. There is a quick note in Ginkgo, Ginkgo currently our largest customers for genes accounted for $2.7 million of revenue in Q1, which is 80% year-over-year growth, as I noted earlier Ginkgo did decline sequentially. It highlight that we are going to see Ginkgo at about 8.5 million this year. Our next generation sequencing product that launched in 2018 are doing extremely well generating $3.8 million in revenue for the quarter, which is above our internal forecast as more customers adopt. We are projecting revenue in customer account scale and this year we are anticipating our next generation sequencing product revenue to be between $19 million and $20 million. And so far as noted earlier, 18 customers have adopted Twist as either primary supplier for panels are the primary supplier for new panels. Just briefly touching regional commentary. U.S. had a strong quarter again roughly around $9 million. U.S. is about 75% of total global business. EMEA revenue is 2.4 which is 121% increase year-over-year, flat to the last quarter, but highlighted they have a very strong book-to-Bill ratio 2 to 1 almost and we are going to see strong growth in EMEA. Q1 revenue in APAC was 0.4 million compared 0.2 million in same period fiscal 2018, we are going to see strong growth in APAC as NGS order come back to revenue. Just one point, in terms of segment diversification. Healthcare segment rose to about $4 million this is about 31% of our total segment revenue. Total revenue what is driving that is the NGS and Syn Bio primarily NGS diagnostics. Now moving down the P&L our gross margin loss for the first quarter was negative 3%, our loss of $0.4 million as Emily highlighted to accelerated our operational ramp ahead of plan and confronted inefficiencies of accelerating the NGS scaling is included having to recalibrate some of our equipment and recruiting staff at the end of year. The impact of that has been incurred incremental one-time cost close to $0.7 million a quarter. So normalizing those one-time costs out, we would have positive margin of $0.3 million. Our operating expenses excluding the cost to revenues for the first quarter increased to $22.5 million from $19 million. Our R&D investments increase to $7.3 million from $6.1 although this was related to our investment in Biopharma which is - team is making significant progress. SG&A increased to 15.3 in the first quarter compared to 13 in the fourth. We added 12 to our sales organizations and we are not about the 85 in sales and marketing. In addition, we had one-time fees of about $0.7 million associated with moving from private to public company expenses and with higher stock-based comp. In summary, our operating loss for the quarter was $22.9 million, which included $1.4 million of one-time items and stock-based comp of $1.9 million. Just quickly touching on the balance sheet, accounts receivable increased to seven that is primarily driven by the higher revenue, our DSO are at 59 days, and we ended the cash with cash in the bank of $130.2 million. Now moving to guidance for fiscal 2019. As highlighted, we are seeing very robust demand for our products particularly NGS and we are hoping our guidance, our revenue range for the year would be $47 million to $49 million. Ginkgo will be $8 million to $8.5 million, non-Ginkgo will be $20 million to $20.5 million, and NGS is estimated to be approximately $19 million to $20 million. Our net loss guidance for the year is 92 to 94, number of items contributing to this. The guidance we gave last time was 80 to 82 so a number of items contributing to this, increased stock based comp of approximately $7 million as a non-cash item, one-time charges of $1.4 million in quarter one that is associated with the transitioning from private to public and the cost I mentioned there on the NGS ramp. We are increasing on our NGS operational side and we are adding resources there 600k a quarter and we are putting more wood behind the [indiscernible] arrow by helping our investment in the Biopharma so Biopharma R&D will increase from $5 million to $6.5 million for the year. Overall, business going well, looking strong. We are doing good job, executing in terms of the NGS pipeline. We are seeing tremendous growth opportunities there. We are on-track to be gross plus to this quarter. And the team has done a good job of executing [indiscernible] upbeat in the future. I will now turn the call over to Emily.
Emily Leproust: Thank you, Jim. We set aggressive milestones at the end of calendar 2018 and we remain on-track to meet them. Beginning with overall revenue, we experienced significant growth as revenue grew from $6.7 million in Q3 to $8.7 million in Q4 to $11.4 million in Q1 across all product categories and geographic regions. To reiterate the guidance that Jim just provided, we are increasing our revenue guidance to $47 million to $49 million. But we do expect that both NGS and Ginkgo would be lumpy. I believe this is a strength of our platform to have these three diversified opportunities with Ginkgo , non-Ginkgo, Syn Bio and NGS as each of the phasing and seasonality balance each other and contribute to overall growth. Looking at Syn Bio, we expect continued momentum as we service our current account as this market share in this area. We are implementing and educating our new product introduction roadmap and in January we introduce genes up to 5KB as a disruptive price and we now offer our customers the opportunity to use our Twist API. Similarly on NGS, orders and revenues are well on-track to reach our objective this year as customers continue to validate our superior performance. We received ISO 13485 certification of our great management system for NGS target enrichment panels and we have invested in the longer term capacity. Now we focus on improving our overall operations efficiency to improve our gross margin. Finally, we expect to launch our e-commerce solution for NGS in the first half of 2019. For Biopharma, we generated early proof-of-concept data from our wholly owned GPCR library and our antibody optimization solution. Once we generate a robust data package, we intend to advance the programs from non-dilutive collaboration and longer term seek revenue generating partnerships. In data storage, we intent execute on our roadmap to increase synthesis density on our Silicon platform which we recued the cost of DNA storage while we pursue non-dilutive sources of funding for this particular opportunity. Finally, we selected a site in China to launch our backend production for NGS, as well as other products by the end of 2019. With that, let's open up the call for questions. Joel?
Operator: Thank you. [Operator Instructions] Our first question comes from Tycho Peterson with J.P Morgan. Your line is now open.
Unidentified Analyst: Hi this is [indiscernible] on for Tycho, thanks for taking the question. Maybe to start off, I was wondering in terms of your academic end-market exposure you mentioned in the past you have around 25% exposure to that market. Was just wondering if you are seeing any impact from the Government shutdown over the last couple of weeks?
Emily Leproust: Thank you for the question. No, we have not seen any impact from the Government shutdown, if anything we have really, really end of year bookings, which is used somewhat to seasonality from pharma, but don't see any impact from the Government shutdown and which bodes well for us looking forward in terms of revenue.
Unidentified Analyst: Great. And then I was just wondering you have talked a bit of quarter-to-quarter volatility in terms of the cadence of order patterns your largest customers, I was just wondering how we should think about that over the course of this year?
Jim Thorburn: Yes, it’s a good question. Thank you. That's why it was given guidance for the year in terms of - revenue guidance in range of 47 to 49. We already delivered $11.5 million this year. Bookings are strong and we try to help swing - Ginkgo should be roughly about $2 million this quarter and we will see some lumpiness in NGS, but right now we are going to have a strong quarter two I guess and I would just keep the range of guidance between 47 to 49 right now for the year.
Unidentified Analyst: Okay and then separately in terms of plans to launch your back-end production facility in China was in the first half of this year, was just wondering what impact you are expecting from that over the course of this year or do you think it will take a couple of quarter to start to seeing that sort of kick in.
Emily Leproust: So [indiscernible] in China we plan to start production in the second half of the year. The benefit of that production is that we will be able to sever the Chinese market with production in China. In the mean time, we can serve that market from the U.S. so as you mentioned we are seeing some good other growth there. So we can serve the Chinese market now and we deliver to set it every better once we have the back-end production, but we have a very strong offering in the U.S., but globally as well in EMEA and back in China.
Jim Thorburn: Yes. The demand for our products that we are seeing that demand increase, there is a lot of customers coming from China and Asia particularly for NGS, was incredible the performance in Europe as well. I mean bookings of almost $5 million and we are seeing that strong bookings continue into this quarter. So we are very encouraged by global growth.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. And our next question comes from Doug Schenkel with Cowen. Your line is now open.
Doug Schenkel: Hey good afternoon Emily and Jim. Thank you for taking my questions. Starting on the impact of making the 5KB products available to your broader customer base. Could you just talk about the impact both in terms of I guess revenue and order and then maybe as if not more importantly, whether or not this has already put you in a position to open up new accounts given that you have brought in your competitor breadth.
Emily Leproust: Yes. I believe the greater - for us to be able to serve more broadly customers needs, and so people that are currently buying genes, there was a sentiment to the market that we could not sell, because we were not making those genes available except for Ginkgo. So defiantly now that we can serve the broader wallet share for that customer. So those are customer we already have and we just can take more of their budget, but in addition there is a vast majority of 5KB genes not purchased they are made. So people buyers of small fragments and then they assemble those fragments together themselves, so they are buyers of small fragments and they are makers of 5KB genes. So that is an opportunity for us to reach to new customers [indiscernible] and to convert them through - and have them become buyers. And the overall benefit of Twist is that we can get to more people, so new customers. We get a higher revenue per gene than we used to and we will get potentially higher margins as 5KB is bigger margins for us.
Jim Thorburn: Doug, I think what is interesting is you just look at the bookings this last quarter its $15 million of bookings of that that $0.5 was Ginkgo. It just highlights that we are executing, expanding beyond Ginkgo and Sym Bio to obviously doing well on the NGS.
Doug Schenkel: Got it, alright that is all very helpful background and a good way of putting it in perspective Jim. What percentage of customers were on your e-commerce platform during the quarter? I'm just wondering how quickly that is evolving now that you have opened that up.
Emily Leproust: The vast majority of our orders e-commerce, I don’t have the exact percentage, but its more than 90% of the transactions were done through e-commerce.
Doug Schenkel: Okay. And last one, it’s really I guess a guidance question. You increased your net loss guidance by $12 million at the midpoint I believe, I think you went from $80 million to $82 million to $92 million to $94 million. So based on your comments, I mean some of this is just public company new types of expenses that probably go away, but in your prepared remarks as well as in the press release you also talked about the opportunity to invest more in growth and hire more folks on your team to address stronger than anticipated demand. You increased revenue guidance by only $1 million at the midpoint of relative to our prior guidance and that is even though you beat consensus expectations by $2 million in the quarter. It just seems like there is a little bit of disconnect there, I'm just wondering if this is just a function of the fact that it's early in the year and you might want to get another quarter under your belt similar to what you saw in Q1 before you more meaningful bump up the top-line guide.
Jim Thorburn: So, yes it’s a good question there Doug. So the investments, couple years of investment. One is Biopharma as $1.5 million. Team are executing well on biopharm. We have no revenue forecast for Biopharma. The second area is NGS from an operational point of view and quite frankly we saw large orders coming in, in the last quarter. So we took a risk and skill the head to support the potential for delivering more in the future. I mean obviously as we go down the year, we are consolidating into our new facility and we will make sure we are well positioned to consolidate into new facility and scale next year. One of things we are dealing with Doug is that if you look at the funnel for large customers for NGS that keeps growing. We are doing a good job the team converting, A team have adopted, so we need to get more visibility into how that translates into revenue as the year progresses. So there is a little bit of a disconnect, but we want to sort of under promise and over deliver that is our internal goals here, we are comfortable with giving the revenue guidance, we have given in terms of 47 to 49 we did break it out for everybody to give more granularity in terms of how much is Ginkgo, how much is in Syn Bio, how much is in NGS hopefully we think that is helpful.
Emily Leproust: Yes, the only think I would add to Jim, but on increasing guidance a lot, but we have the capacity available [Indiscernible] funnel transform.
Doug Schenkel: Understood. Thanks for all that detail.
Operator: Thank you. And our next question will be from Catherine Schulte with Baird. Your line is now open.
Catherine Schulte: Hi, thanks for the question. Earlier this week you have a Syn Bio company announce a large agreement for [Indiscernible] development. This is a company that you have press released was an early adopter of your platform. Any comments on that deal or just your general thoughts on the potential opportunity of that application?
Emily Leproust: I think it's one example of synthetic biology becoming an important technology for a clinical growth, there was a slow over this week the announcement of the third luxury watch where the bracelet for the watch was made out of a [Indiscernible] and that was $3 million watch and that is accessible for everybody. But overtime you would have seen more and more of the stories coming out and what I’m excited about that we are talking less about the technology, technology is important, but we are now talking more about the applications. And so that deal is just one example things to come and I think it's quite exciting and it's great for us to see that our customers are growing and making progress.
Catherine Schulte: Okay. And then on the Biopharma GPCR side what additional data - before you think you would be ready for our potential partnership and what is the timeline we should expect around that data and timing of the potential partnership?
Emily Leproust: Yes. So what we have so far is we have been able to show that we had a number of antibodies that have great [indiscernible] and that they are functional. Next layer of data it's characterizations of those antibodies around immunogenicity, extra stability - durability and so on, so that is one area of the data package. Another area is the expansion to order target and order examples to show that the platform is universal and then working with people to have some of those data generating not a Twist only but flow with order lap and which will increase the credibility and the value of our offering. So in Biopharma it takes time. Overall, I think the team is ahead [indiscernible] to give data too early and so it’s great to be ahead. And in the next two quarter we will keep you updated as to further progress.
Catherine Schulte: Great. Thank you.
Operator: Thank you. I’m not showing any further questions at this time. I would now like to turn the call over back to Emily Leproust for closing remarks.
Emily Leproust: Thank you John. We will continue execute on our plans moving forward and we believe that DNA will ride the future. So we look forward to seeing some of you at the [executive] (Ph) conference at the end of February and as well as the Cowen Conference in March. So with that thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. And you may all disconnect. Everyone have a great day.